Operator: Good day, ladies and gentlemen, and welcome to the Route1 First Quarter 2023 Business Update Conference Call and Webcast. At this time, all participants are in a listen-only mode. Shortly, we will begin with the formal presentation. As a reminder, ladies and gentlemen, this call is being recorded today, Thursday, June 1, 2023. I would now like to turn the call over to Tony Busseri, Route1’s President and Chief Executive Officer.
Tony Busseri: Good morning, everyone. I hope you’re doing well, as we approach summertime here. Looking forward to sharing with you more of our results for the first quarter of 2023. Before we get going, I’m going to read a standard legal notice, so just bear with me. As described in the Company slides, I would like to inform listeners that this presentation contains statements that are not current or historical factual statements that may constitute forward-looking statements. These statements are based on certain facts and assumptions, including expected financial performance, business prospects, technological development, and development activities and like matters. While Route1 considers these factors and assumptions to be reasonable based on information currently available, they may prove to be incorrect. These statements involve risks and uncertainties, including, but not limited to, the risk factors described in the reporting documents filed by the Company. Actual results could differ materially from those projected as a result of these risks and should not be relied upon as a prediction of future events. The Company undertakes no obligation to update any forward-looking statement to reflect events or circumstances after the date on which statement is made, or to reflect the occurrence of unanticipated events, except as required by law. Estimates used in this presentation are from company sources. I also need to point out that on today’s call, we use names that either are registered trademarks or trademarks of Route1 Inc. in the United States and/or Canada. Thanks for bearing with me on that. Just a quick refresh again. Our business model as we continue to pivot or refocus our sales area, we’re all about bringing security and operations together with real time actionable intelligence. What Route1 provides our clients is advanced data in usable format, and I need to stress from video capture technologies. They enhance safety and security, driving greater profitability and improving operational efficiency. The cornerstone video capture technology will we lever is licensed plate recognition. Our key partner in this is Genetec. They are central to what we can deliver as outcomes for our clients. What differentiates us? Well, we’re not a transactional turnkey engineering services company. We support our clients’ outcome with their selected technology investment over its full lifecycle, in many cases beyond as they move to the next version of the technology, which leads to opportunities to establish recurring revenue for our clients from services and support. We think that’s critical as we expand upon the MobiKEY software application business and other like offerings we have, the recurring nature of some of the revenue we generate from our LPR activities is important to the value and cash flow growth of our business. We obviously leverage our software and network engineering expertise to create tailored outcomes for our clients. And we think this is one of the key differentiators as we go to market as a partner with Genetec. We discussed on our last call, I think it was in late February of this year, what’s going to define our improved business model is being successful and it’s going to be scalable. Well, we mentioned three metrics, and so let’s review that. The gross profit generated by non-MobiKEY activities grew in Q1 over Q4 and will always grow by a similar number each quarter. But our goal here, as we talked about before is to generate US$1,150,000 on a quarterly basis and gross profit related to non-MobiKEY activities. So, we’re heading in the right direction with this metric for sure. From a LPR support contract, this is the new recurring revenue focus for the Company. We want to see the annualized value of contracts exceed $1 million. This is impacted as we from time to time as there’s some lumpiness and one time contracts, et cetera. But we’ve been in that mid-$800,000 range for the last couple of quarters. We would expect this to continue to grow and get north of $1 million a year or an annualized contract shortly. The third point has a strike through it, because I wanted to make clear that when we spoke in the prior meeting, or when I did, I talked about growing the non-LPR surveillance or surveillance video business. I need to be a little more broad. We’re seeing opportunities in leveraging video for transit applications, et cetera. And it’d be wrong just to talk about fixed camera video surveillance opportunities. This, again, is working with Genetec and other OEMs, as we move into the area of again, leveraging video capture technologies for specific outcomes our clients have. So where we expect to see revenue from these activities by the calendar fourth quarter of this year? So, heading in the right direction, not all the way there, but feeling bullish on the business model. The other part, which is a nonspecific tangible metric, is the fact that we want to have stable working capital, reducing debt and be in a position to look to scale through organic growth as well as acquisition later this year. So, I guess, one of the areas I’m quite often asked about is MobiKEY, and the next generation of that technology. So, before we review our results, I wanted to take a little more time today talking about where we stand with what we’re calling MobiKEY X. Shortly, later this month, early July, we’ll have a formal commercial launch of it. What have we done here with MobiKEY? Well, we’ve redesigned the product. We think we’ve made a technical breakthrough in minimizing latency, a primary factor in perceived product performance for remote users. The new MobiKEY X results in a product that drastically changes the user experience by eliminating the lag when accessing a remote desktop. This is even more critical when using collaboration and video conferencing tools. MobiKEY moves away from hardware devices, instead authentication is now performed using industry standards, giving customers greater flexibility, such as federation with existing authentication solutions. So, we’re not using a MobiKEY hardware device now for the multi-factor authentication. It’s worth pointing out that we believe that the requirement to carry a physical MobiKEY device over the last couple of years hampered the adoption of the industry-leading technology, particularly in the enterprise space. So talking a little bit more about the milestones that we achieved as we’ve moved forward over the last number of quarters with this new offering, or an improved offering. We are in a position now that we’ve been working with one of our DoD customers or clients. We’ve successfully demonstrated the performance advantage of MobiKEY X to them. That was a key milestone for us earlier, while in late Q1, early Q2. We continue to work with them ensuring that the new product meets all of the Department of Defense requirements. In particular, we have to be able to continue to support the DoD issued common access card for logging into user’s desktop, which continues to be a key objective. By leveraging Active Directory Federation, MobiKEY X becomes easier to seamlessly integrate into the enterprise and allows administrators to use tools they are more familiar with. Similarly, the third-party apps like Google Authenticator provides flexibility in implementing multi-factor authentication without compromising security. So, as you can see from this, we’ve taken a different approach, we think a more -- a better received approach for user authentication. And we should be able to integrate more seamlessly with government, military and enterprise/commercial clients. Drilling in a little bit more on the MobiKEY X authentication. Well, MobiKEY has traditionally been a closed system. With MobiKEY X, the objective is to provide an open environment that better integrates with enterprise security technologies and approaches. As such, we’re aiming to support the leading authentication authorization platforms. Again, on the DoD front, our objective is to allow the DoD commands to integrate with their existing accredited single sign-on and authentication platforms. I’m sure some of this will not necessarily make a lot of sense as we talk about where we’re going with MobiKEY, but I guess in a simple way, it’s going to be easier to use yarn for and be tied to a physical device, and the end user enterprise administrator is going to be able to integrate with tools they currently use. So, we think there’s a an opportunity here to effectively relaunch or bring the next generation of MobiKEY to market and create a little energy behind this and see where it can go. Let’s talk about Q1 results now, as we move forward in the review of the last 90 days. From a quarter-over-quarter perspective, we were pleased with the improvement. We had talked about Q4 being a bit of an anomaly for us. The EBITDA partially rebounded and is starting to reflect where we stand with the smaller footprint of MobiKEY users. We would think that the EBITDA on a quarterly basis for how the business is currently constituted would range between $100,000, $300,000 to $400,000 a quarter of EBITDA, the related revenue should be $3.5 million to $5.5 million per quarter. That’s where we believe we are. Can we do better than that? For sure. And we’re going to talk in a few minutes about a couple of initiatives we have that should drive the top-line and obviously help the bottom-line. Let’s drill into the revenue mix a little bit, as we do this quite often and we talk about where we are. The technology lifecycle maintenance and support in Canadian dollars we expect to continue to grow, professional services should continue to grow and application software, we hope with the launch of MobiKEY X will stabilize and start growing again. This is where we are as a business and there’s room to improve here. On the cost side or the indirect cost side of the house, we believe we continue to do a good job of controlling them. Look, you can grow your way to success through cutting costs or being extremely tight with them. But we continue to look at the mix and the investment in talent. We’ve made some changes over the last three to four months, not necessarily increasing dollars, but swapping dollars. Culturally, we’re looking for entrepreneurs, people that own the outcomes and are really committed to this new -- this revised business model that focuses on leveraging Genetec technologies and more specifically, video capture based technologies. We’re excited with investment. It’s been a grindy four to five months -- four to five quarters. Excuse me. But I think we’re in a much closer to that position where we can really start seeing growth or talking more about growth on a quarter-over-quarter basis. We took a business they needed to pivot and moved away from a certain business model, because of market factors. And I think the success we’re having, and then the stability we’re creating is going to produce a strong second half to this year and a 2024 that hopefully ties into improved share price. Moving forward, the balance sheet, obviously, we’re not where we want to be yet relative to debt and seller notes. We continue to tighten up the working capital matter, reduce the investment we have in current liabilities. Currently, it’s tight but -- and manageable relative to where we stand from a cash perspective. There is a point here where we start paying down the debt. I believe we’re at that inflection point. Hopefully, Q3, we’ll see an improvement in this area. We’re not at the edge of the cliff or anything like that. But we are a smaller business, and we have to be careful with the money we’re spending. So, we do that.  More specifically on the $3.3 million of bank debt, it’s comprised of lines of credit with Royal Bank and Vectra, a subsidiary of Zions Bank. We continue to pay down the promissory note we have with Windsor. That number, as we stand today, is down almost another $50,000. The vendor take-back note related to the PCS acquisition will be addressed and completely paid off by the end of June. And that will be good. We’re at a better position today than we were in the past. And we’ll just keep on grinding. Not much more to say than that. So, what are we going to do going forward here to bring some stronger life into the stock and as well as the profitability of the Company? Obviously, we need to improve the gross profit and related EBITDA that’s being generated from LPR activities, which means more new accounts and more sales to current accounts. Not a big surprise, as I say that, specifically, we are working with new parking operators, parking integrators. And that will lead to as we’re seeing in this quarter, the second quarter, expanded revenue and lots of opportunities for the second half of the year. We’re also seeing that the point in the lifecycle with a number of our LPR clients where they need a hardware refresh on the cameras, that’s driving activity over the next six months. And as I talked about early on in today’s call, we’re seeing an opportunity to work with Genetec in the transit vertical, on fixed video applications. And then, we talked about at our last meeting the State of New Mexico public safety RFP that we had been the low price respondent on. We’ve been working with the state police group over the last 30 days and will be over the next 30 on the technology validation. And what do I mean by validation, doesn’t work the way they want to work fixed and mobile applications of LPR. And if so we think we’re in a good position to see orders coming from them. So, we’re excited by this opportunity, we’ve put a lot of time into this opportunity. We’ve partnered well with Genetec. It’s a secondary market. It’s not Texas or Florida or California. But we like secondary markets. We like stronger lasting relationships with clients. So, again, we will talk more about this opportunity as we go forward. But we believe it’ll be an important driver for us to the top-line and bottom-line as we move forward. The other matter or opportunity I’ll bring up is we’ve been working with clients in California to address many of their green initiatives, particularly on environmentally responsible vehicles, let’s call it. And we hope over the next 30 days to talk about or launch a new offering. We’re doing a pilot this week. We built a new movement vehicle that’s green, that’s electric, with a partner. And we think for larger urban centers, it’s going to be an interesting product that may have some legs on it. And so, I would say stay tuned. I know, I’m being a little obtuse, as I talk about this. But we are responding to the market, we are listening to what the client wants, for the side -- personal views or what different states want to do about environmental responsibility. If our client’s looking for a specific product, and we can deliver it with our partner Genetec, we’re going to. We talked about a few slides back the MobiKEY X launch that will come over the next 30 to 45 days. So at this juncture, I would say we’re getting very close to the starting line, organic growth, new opportunities and we should start seeing some productivity out of these initiatives over the second half of this year. So, I hate to say it again, but in some ways, it’s stay tuned. The business has evolved forward, it is cleaning itself up in light of the new business model it’s falling that we believe and the Board believes has the greatest opportunity for success. And we look forward to reporting more on it as we grow the business. So, at this particular juncture, I’m going to turn -- well, let me, before I turn it back over to the operator, just remind you that if you missed part of today’s presentation, you are able to get a replay of it by calling in toll free at 1-877-481-4010 using passcode 48498 until 4:30 p.m. on June 6. On our website a little later today will be a copy of this presentation. As you know, I’m pretty accessible by phone or email if you want to connect with me. If you’re calling to talk about the quality of my most recent haircut, I’m not going to have a lot of time for that. But we are working pretty darn hard, all of us here to create value out of this. And we look forward to delivering on that in the current -- in the go-forward quarters. So now, I will say, operator, over to you. And folks, look forward to speaking with you in about 90 days.
Operator: